Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q3 2019 DHT Holdings, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] I must advise you that this conference is being recorded today, Thursday, October 24, 2019. I would now like to turn the conference over to your speaker today, Laila Halvorsen. Please go ahead, madam.
Laila Halvorsen: Thank you. Good morning and good afternoon, everyone. Welcome and thank you for joining DHT Holdings third quarter 2019 earnings call. I'm joined by DHT's Co-CEOs, Svein Moxnes Harfjeld and Trygve Munthe. As usual, we will go through financials and some highlights before we open up for your questions. The links to the slide deck can be found on our website, dhtankers.com. Before we get started with today's call, I would like to make the following remarks. A replay of this conference call will be available at our website, dhtankers.com, until October 31, 2019. In addition, our earnings press release will be available on our website and on the SEC EDGAR system as an exhibit to our Form 6-K. As a reminder, on this conference call, we will discuss matters that are forward-looking in nature. These forward-looking statements are based on our current expectations about future events, including DHT's prospects, dividends, share repurchases and debt repayment; the outlook for the tanker market in general; daily charter rates and vessel utilization; forecast on world economic activity, oil prices and oil trading spend; anticipated levels of newbuilding and scrapping; and projected dry dock schedules. Actual results may differ materially from the expectations reflected in these forward-looking statements. We urge you to read our periodic report available on our website and on the SEC EDGAR system, including the risk factors in these reports for more information regarding risks that we face. Looking at the income statement. Our EBITDA came in at $36 million and a net loss of $9.4 million or $0.07 per share. Adjusted for non-cash change in the fair value related to interest rate derivatives of $1.5 million, the net loss would be $7.9 million or $0.06 per share. Also adjusted for a non-cash change in fair value related to interest rate derivatives of $12.9 million year-to-date, net income was $10.7 million or $0.07 per share for the first nine months of 2019. The average earnings for our VLCCs came in at $25,500 per day in the third quarter, with the ships on time charter earning $33,700 per day and the spot fleet earning $24,300 per day. OpEx for the quarter was $19.4 million or $7,800 per day average for the fleet, and G&A for the quarter was $3.5 million equal to $1,400 per ship per day. For the first nine months of 2019, the fleet generated $28,800 per day in revenue on a TCE basis. OpEx per day for the first nine months of 2019 was $7,600 per day average for the fleet, and G&A for the first nine months of 2019 was equal to $1,500 per ship per day. As of today, we have booked 49% of our fourth quarter spot days at $61,700 per day. The company has elected to pay a cash dividend for the 39th consecutive quarter. A dividend of $0.05 per share for the quarter is payable on November 14 to shareholders of record as of November 7. Moving on to the balance sheet. The quarter ended with $115.4 million of cash. To prepare for the convertible senior notes coming to maturity October 1, we drew down $35 million under the revolving credit facility tranche of the Nordea Credit Facility. As 80% of the notes were converted, the $35 million was repaid in early October, and current availability under our revolving credit facilities is $83.9 million. Financial leverage is moderate with interest-bearing debt-to-total assets just below 50% based on the market value of the ship. After the conversion of the bond, the leverage now stands at 48%. Looking at the cash bridge, we generated $36 million in EBITDA and has positive cash flow from operations. Ordinary debt repayment and cash interest amounted to $27.8 million. $14 million was paid related to maintenance and scrubber CapEx, and $2.8 million related to dividends. Issuance of long-term debt amounted to $55 million and the quarter ended with $115.4 million of cash. With that, I will turn the call over to Svein.
Svein Moxnes Harfjeld: Thank you, Laila. We will now give you an update on our scrubber projects. To date, we have completed eight vessels. Lake and Raven were done at the end of last year. Whilst Hawk, Falcon, Condor, Amazon, Sundarbans and Lotus have been completed this year. We currently have two vessels at the yard, namely, Peony and Taiga, both expected to complete next week. We have, on average for all these retrofit projects, spent 37 days at the yard. The yards in general are very busy, some chaotic. Under these circumstances, we are pleased with our team's performance, reflecting their good planning and efficient execution. Of the total 16 retrofit projects, we have then six to go. These are Redwood, Bohemia, Edelweiss, Europe, Scandinavia and Opal. It is however, important to address that the remaining projects are likely to be postponed at the current spot market levels. We will make decisions on a case-by-case basis as we go along. Total CapEx for the retrofit project is budgeted at $70 million, of which we have paid $34.5 million to date. We have, as earlier announced, a $50 million scrubber financing facility in place from which we have drawn $25 million. With that, I'll pass you on to Trygve.
Trygve Munthe: Thank you, Svein. Before we open up for your questions, we would like to briefly highlight DHT's positioning. As you all know, we are the only pure VLCC company in the public space. And as the current bull market shows, the upside potential is far more exciting for the biggest ships. We dare to say that we're best-in-class on costs. Over time, nobody beats us on OpEx and overhead, and these things matter. Combine these costs with competitive TCEs achieved in the spot market, and we believe you will be hard-pressed to find anyone beating us on EBITDA per ship per day. DHT is simply performing very well. As to the scrubber investments, we note that the spreads between HFO and compliant fuel are widening again. And we just want to remind everyone that a spread of $250 a ton translate into roughly $12,500 a day in superior TCE earnings for the scrubber-fitted ships. That may seem like a small premium on a relative basis in the current market, but it equates to $4.5 million per ship per year which means we will have recouped the investments in 12 months. We believe we are in the early innings of an exciting bull market for tankers. The recent frenzy was perhaps short-lived, but we now seem to settle at rate levels that far exceed even the most optimistic rate forecasts we have seen for this winter. And again, in these kind of markets, VLCCs become very large cash creators. Back-of-the-envelope calculations suggest that in a $100,000-a-day market, DHT stands to generate over $1 a share in earnings per share per quarter, pretty strong if you ask us. You may also want to note that plus/minus $10,000 a day translate into about $0.15 in quarterly EPS. Lastly, we want to highlight that our dividend policy ensures immediate participation in this bull market for our shareholders. We've been paying dividend every quarter for almost 10 years now. Our policy of returning at least 60% of ordinary net income to shareholders has been unchanged since the second quarter of 2015. We believe this provides predictability for the investors. And perhaps more importantly, chance of handsome returns of capital over the next several quarters. And with that, we would like to open up for your questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Your first question comes from the line of Jon Chappell from Evercore. Please ask your question.
Jonathan Chappell: Thank you. Good morning or good afternoon, maybe even good evening to some of you. First question. Svein, you mentioned that you may, on a case-by-case basis, postpone some of the scrubber installations on the last six ships based on current market conditions, which makes all the economic sense in the world. But I'm just wondering, what's your ability for the contractual obligations? Can you push that back for infinitely? Does it have to be a window of 60 to 90 days or something like that? What's your flexibility to address that on a case-by-case basis?
Svein Moxnes Harfjeld: We believe we have a great flexibility in this regard without any financial penalties. The yard is a yard where we are a major customer, but the yard is also exceptionally busy at this time. There are a lot of ships sort of pressing on to get these projects done as quickly as possible. And I'm sure we could sort of vacate our space for other ship types such as containerships, for instance, and the yard would welcome that. So this could certainly be sort of a win-win situation in terms of scheduling for both parties.
Jonathan Chappell: Is there a point where maybe you abandon them? I mean, if the winter is as strong as the recent market indicates, and maybe the shoulder periods, the second and third quarter, for whatever reasons, IMO, et cetera, stay incredibly robust going into next winter and you still haven't fit them yet? And is there a point of you to say, listen, these six missed the window of opportunity, and we're just going to keep trading them because they're making so much money or do you feel that longer term, you want to make sure that you have the scrubbers installed on those six?
Svein Moxnes Harfjeld: I think that's something we need to address in due course. But we have made this commitment for now. So far the economics on these scrubbers looks to be very handsome. And if for some reason, these assumptions change in the future, of course, you might have the opportunity to revisit this. But I think our game plan is certainly to go ahead, but maybe not at this point in the spot markets.
Jonathan Chappell: The other question. A bit of clarity and it's difficult, I know, in the new accounting rules. But you've said you've done 51% of the spot days in the fourth quarter already. Now if we take the scrubbers and set those aside on the six ships and your decisions there, what's your true availability for those other 49 days? Is there revenue recognition issues that may make the back half of the quarter less robust than maybe the benchmark rates indicate? Are you fully exposed and operational, where every single ship is available and whatever we see from the ship brokers would really translate into an actual TCE? How should we think about that?
Trygve Munthe: I think the key point, as I mentioned that we have two ships in the yard at the moment, but they will be coming out next week. And from then on, all our ships are in the water, and they're ready hauling and able to take what the spot market gives. So it's the time lag effect here that you start out any quarter, with a lot of fixtures done in their preceding quarter, and in a rising market, the initial readings are going to be lower than the final readings, and the opposite in a declining market.
Jonathan Chappell: Right. All right. So that's a good sign. Final one – thank you for the clarification on the capital return policy. Clearly a $0.05 dividend for the third quarter. A loss-making quarter is a bit of an indication that the fourth quarter is as strong as we had hoped. That's a little bit of maybe borrowing from the fourth quarter to pay the third quarter, if you will, just because you did have a loss in the third quarter. When you say up to 60%, I mean, should we think in this type of incredibly strong environment that, that 60% is probably very conservative? Or do you think you want to kind of keep it at that base and maybe delever more aggressively as we go through the next six months?
Trygve Munthe: Just to clarify, Jon, it's minimum 60%, it's not up to 60%.
Jonathan Chappell: Thank you. Yes.
Trygve Munthe: So no, I think you should – your reading on the $0.05 for the third quarter is correct. That we felt that the company performed well. We're onto a quarter that's going to be clearly much stronger than the third. So we felt it was in everybody's interest, and we wanted to reward our shareholders for being patient and staying with DHT that we opted from $0.02 to $0.05. Lastly, it's not about borrowing from the fourth quarter. So it should, at minimum, 60% in the fourth as well.
Jonathan Chappell: Perfect. Thanks Trygve. Thanks Svein.
Operator: Thank you. Your next question comes from the line of Randy Giveans from Jefferies. Please ask your question.
Randall Giveans: Hi, gentlemen. How is it going?
Svein Moxnes Harfjeld: Good. Thanks.
Randall Giveans: Great. Svein, you mentioned the current spreads of maybe $250 a ton or so. In recent weeks, you've heard a robust kind of trading activity in the paper market for next year. So with that, how do you kind of see the HSFO-VLSFO spread kind of developing as we approach January? And you said it's already spreading to $250. Does it get to $300, $354? And then also, will you purchase fuel in advance or just kind of wait and see how prices react in the coming months?
Svein Moxnes Harfjeld: Let's respond to the latter part of your question first. We do not do any hedging or don't sort of buy forward. So we buy fuel when we need it. The way the freight market is priced, it's sort of reflecting current – or the bunker prices pretty much at the time that we fix. In terms of the spread, our thesis was never that compliance fuel would be sort of hard to obtain or to buy, or that compliance yield should be very expensive. Our thesis was based on a dramatic fall in demand of HFO, and thereby making HFO very cheap. So that is sort of what we think is going to be the spread. And you're sort of seeing the indications of that already because it's really through this quarter that the drop in demand for HFO is going to happen. So we will just sit tight. We think our investment position looks to be very sound and we'll return some hefty profits to the company.
Randall Giveans: Okay. And then we're hearing of one-year time charter rates of maybe $60,000 a day for ECO VLCCs, and that's without scrubbers. So have you gotten any bids for your vessels at those rates? And additionally, what is kind of the one-year time charter premium or scrubber-fitted deeds? Is it $5,000, $7,000, $10,000 a day? And are you looking away – looking to lock away some of those vessels?
Trygve Munthe: I think to sort of quantify to a specific number on the premium on the scrubber is a bit difficult because what typically happens is that somebody is coming in the market, and they have a very clear opinion of what they want. They want in, for instance, an ECO ship with a scrubber. And it's not like they are to take an ECO ship without scrubber. So therefore, it's a bit hard to nail the exact difference. But surely, time charter rates have been coming up with the spot market, and we expect it to continue to go up. But frankly, 12 months to us in the current spot environment doesn't make a whole lot of sense, simply because you're giving away a lot in the first part of that 12-month period. And it doesn't really build DHT into a better company and a more predictable cash flow, in our opinion. The rates simply – the charters simply needs to be longer to really catch our fancy.
Randall Giveans: Okay. And I guess a five-second question, following up on that. You booked 50% or so of your 4Q days around $62,000 a day. You said a lot of that was kind of done in early to mid-September. So just to kind of see where current market is, what was your most recent kind of fixture net TCE level?
Trygve Munthe: I think if you check in on the TI app, you can see most of the fixtures reported there. So we were – in the frenzy here 10 days ago, most of those deals with spectacular returns over $200,000 and $300,000 a day, they failed for the most part. So the best picture we did was a voyage returning about $190,000 per day, and we got our subs, and that's a real transaction.
Randall Giveans: $190,000. Sound good. Trygve, thanks so much.
Operator: Your next question comes from the line of [Omar Nokta]. Please ask your question.
Unidentified Analyst: Thank you. Hi, Svein, Trygve and Laila. I just wanted to ask, maybe on that last point you made about, you booked $190,000 in that frenzy. Maybe if you could just – there's been a lot of discussion on what we've been seeing in the market here over the past month. At the beginning of October, rates were at $100,000 a day. It skyrocketed to $300,000, would come back down to $100,000 or just under there. I'd just like to ask, if you could, from your view, maybe just explain kind of what you saw in the market that led to that initial drive higher than the massive surge and then kind of coming back to earth. Could you give us some color on how you saw that whole situation develop?
Trygve Munthe: Sure. I think this start with the firming of the market in September. It was clearly increased demand from the refiners and the deliveries of newbuildings were sort of slowing down. So you had the very basic fundamentals, both working in our favor. And you saw rates coming up to, call it about $40,000 a day. And then we had COSCO sanctions hitting the market, and that certainly put everything on fire. And part of the reason why it got so crazy, in our opinion, is how the Chinese and [indiscernible] amongst them, how they reacted. They immediately abandoned the COSCO fixtures and were scrambling to get the replacement ships to do the work. And in that week, that is now two weeks ago, it was very unusual circumstances, and the charter is really panicked. And then the biggest numbers were done on that Friday. And then over the weekend, it seems like people sort of got the pulse down in the normal range again. And things calmed down, the activity was lower, and then you started seeing ships failing and then the replacements and so forth. And since then, I think the charters have been doing their typical tactic, that they want to [indiscernible] the cargoes into the market to try to make the owning fraternity nervous. But so far as we said in our opening remarks, we are at levels now that are still pretty darn good. We're just under $100,000 a day, and that's fantastic rates and the fixtures or the indexes suggesting $200,000 to $300,000, it turned out that wasn't really doable. And when you get to those kind of freight levels, you are making it very hard for the refiners to make money. And in that crazy week, we happened to be in Korea. We met a lot of refiners, saying that at these freight levels, it just doesn't make sense for us. We will pull back the throughputs and start trading our time charter ships rather.
Unidentified Analyst: Yes. That makes sense. In Randy's question, asking about the one-year VLCCs, and you mentioned that it doesn't look that interesting to you. Given what you'd be giving up here in the near-term, with all the volatility that we are seeing in the market, have you been approached for three, four, five-year deals? I know in the past, DHT has definitely been – you've always kept spot exposure, but also look for long-term contracts. Has that developed to any meaningful degree here over the past couple of weeks?
Svein Moxnes Harfjeld: We are in the market, and our customer base are also customers that typically tend to charter in ships for various of on periods. So there are certainly discussions. But I think the frenzy that Trygve just talked about created, of course also some uncertainty in the market for how to price these things. And I think some charters that were sort of sniffing around had to take a little time out. But we sort of expect these things to come back again and this discussion to potentially firm up. So there are some level of liquidity, but we are mindful of firstly, who we do business with and which ships it is and what the money is and et cetera. And then – so on the other ship, we'd like to see longer-term than just 12 months, so. But rest assured that the deal flow is certainly at DHT's desk, so.
Unidentified Analyst: Okay, yes. And that's helpful color. And from the deal flow, is the discussion primarily more focused from charters on just seeking – is it a VLCC, or is it a scrubber-fitted VLCC, you'd say?
Svein Moxnes Harfjeld: I think it's a mix. But most of the activity that you've seen to date has been ECO ships with scrubbers. That's really where the people wanted to – that's the type of tonnage that people wanted to secure. We've seen very few people out there wanting to take ships in time charter without scrubbers. There's not really been sort of much interest in that.
Unidentified Analyst: Got it. Thank you, helpful. Thanks guys.
Operator: Your next question comes from the line of Robert Silvera from R.E. Silvera. Please ask your question.
Robert Silvera: Good morning, gentlemen.
Svein Moxnes Harfjeld: Good morning.
Robert Silvera: I'd like to complement you on your foresight. Looking ahead and anticipating the market that has now begun to develop. And positioning yourselves so well to benefit the way we're benefiting. My question deals with one subject you told us about, but you really gave us no forethought on how you might deal with debt in the future. As I noticed from quarter two to quarter three, our interest-bearing debt climbed by $41 million net. And if you go back all the way to 2018, we're kind of staying level as far as debt levels are concerned, in the $900 million level. If we anticipate the market that we've been talking about here this morning, which is a very profitable one for us and will give us substantial cash, myself personally hope, because we're shareholders, large shareholders, that you will significantly delever, as one of the previous callers spoke of. Can you comment on whether or not you would approach reduction of debt primarily rather than share buyback? We personally would like to see you do not do any more share buyback, but rather reduce significantly the interest-bearing debt so that when, eventually in the years to come, this market cycles, as it has always done, we will be in an extremely strong position because of very low debt to take on new ships or acquire ships from others, because as we saw in the past, Frontline did not anticipate well. And when the market turned, it caused great problems for Frontline. So I don't want to see us ever make that kind of a mistake and then rather anticipate and do well with reduction of debt during these real good times. Can you comment on that, please?
Trygve Munthe: Sure. The first part, first that the increase in debt you saw in the third quarter was partly caused by the $35 million we drew down on the revolver in order to be prepared to take out the convertible debt that matured on 1 of October. But as was stated, that was subsequently repaid again. And then there was some borrowing in connection with the scrubber facility. Our scrubber is the refitting program.
Robert Silvera: Okay.
Trygve Munthe: But then more importantly, what do you do in the strong market, and we wholeheartedly agree. You got to strengthen your balance sheet when you can in this business. And it's to serve the split on the capital allocation, how much do you return to shareholders and how much do you sort of strengthen or reinvest and strengthen the balance sheet. And we think we have found the reasonable policy with our 60%. That leaves, of course, the 40%, and then the delta between net income and cash flow that can be used to repay debt in essence. And we can only point to what we did in the last up cycle in 2015 and 2016, where we prepaid – I can't recall exactly, but...
Svein Moxnes Harfjeld: [$120 million.]
Trygve Munthe: Yes, equivalent to 20%, 30% of our mortgage debt. And we also bought back one-third of our convertible bonds. So you shouldn't expect anything different from us at this point. We still believe you do different things in the different phases of the cycle. And in the good market, you also need to prepare for the downturns, and you do that by strengthening your balance sheet, and i.e. repaying debt.
Svein Moxnes Harfjeld: And keep in mind that all our mortgage debt is amortizing, right. So for the full-year of next year, the bank debt will amortize – the debt repayment is about $70 million, the ordinary schedule, so.
Robert Silvera: That's good. You don't anticipate anything during this coming year that would increase debt then, right?
Trygve Munthe: No. So we are not investing at this point in the cycle. We have no other CapEx projects. So our focus is really to use excess cash flows to delever the balance sheet or strengthen the balance sheet.
Robert Silvera: That's wonderful. I hope you will be very aggressive in reducing the debt instead of expanding. Stick with the 60% on the dividend. That's very generous and should satisfy us all. But I'm looking for way beyond as we get to the next bottom part of the cycle. I don't want to see us have to go way down to $0.02 and $0.01 type of dividends. So thank you very much for doing such a formidable job of anticipating in the future what the markets would be like and being positioned to do so well as we're doing now. As you commented in the beginning of the call, we're in the best position in the marketplace relative to our competitors, and I compliment you for that.
Trygve Munthe: Well, thank you for your kind words, sir.
Robert Silvera: Okay. That's all I have there.
Trygve Munthe: Okay.
Operator: [Operator Instructions] Your next question comes from the line of Mike Webber from Webber Research. Please ask your question.
Michael Webber: Hey, good morning, guys. How are you?
Svein Moxnes Harfjeld: Good morning.
Trygve Munthe: Good morning.
Michael Webber: Thank you. So it's been a long call, so I'll keep it short. I wanted to move back to the decision to slip some of the scrubber installations. And forgive me if you answered this within Jon's question and I missed it. But have you seen any other slippage within the alpha level backlog? Are other owners making the same decision that you can see and will that apply for tonnage on the market in Q4?
Svein Moxnes Harfjeld: We're not sort of polling every competitor ships, but we are being told that are – a few that are looking at the same. So at the yard where we are, there are a number of these, but we are not aware of any of those projects being postponed. So we still expect there to be some capacity of the fleet to be out for this quarter. And – but you might sort of smooth out the loss of productivity, if you like. So there will be maybe a little less this year – this quarter, but then maybe more next quarter and the following quarter than most people have planned for. So I think it's sort of a good development in the market.
Michael Webber: Got you. But just so I'm clear, so within the alpha level backlog, you guys are the only ones thus far that have decided to kind of slip some of your installations?
Trygve Munthe: As far as we are aware, yes.
Michael Webber: Okay. Okay, that's helpful. And then just finally, on the rate spike and the market reminiscent of 2008 and 2009, I'm just curious, the market was obviously tight, kind of – it had the right mixture kind of heading into Costco and everything else. But just on a forward-looking basis – does the spike in the indication of how tight the market can get? Does that move the needle for you in terms of where you thought the market could be averaged in 2020? Or were you already kind of carrying those expectations? I'm just trying to think, if you were to give us what your expectations were for average V earnings three months ago versus where – for 2020 versus where you get them today, does that kind of demonstration of strength move the needle for you in terms of your forward expectations?
Trygve Munthe: It's difficult to answer that. Let me say that we had bullish expectations for next year, and we've been sort of comforted in our beliefs by the recent few weeks. But we haven't changed or anything. But we're not too big on sort of putting one number that we are betting on the market returning. We just – we're going into a very strong cycle, and we think we're in an excellent position to reap the benefits.
Svein Moxnes Harfjeld: I think – just to add to that, I think really, the key takeaway also what happened now is that this would not have happened unless you have very strong or healthy fundamentals as a platform. In the sort of market where the – it was sort of off balance, that wouldn't have happened. Might have made some small damage, but this was really possible because of the very healthy underlying structure of the markets.
Michael Webber: Yes. The real way to ask that is what's the one-year rate that would cause you to actually pull the trigger today versus a couple of months ago, and whether that's actually higher. But I'll save the hypotheticals for offline. So I appreciate the time, guys.
Svein Moxnes Harfjeld: Thank you.
Operator: Your next question comes from the line of J. Mintzmyer from Value Investor's Edge. Please ask your question.
J. Mintzmyer: Hi. Good morning. Good afternoon. First of all, congratulations on the fantastic forward fixtures. I mean, I know everyone on this call understands that we're looking at late August, September, October kind of fixtures. But a lot of folks reading the transcripts and the retail kind of investors might not realize that, so very good job there. We'll start big picture, then a couple of granular questions. Big picture, we expect NAV values to start moving up, right? I would imagine there's a widening bid ask spread between both owners and prospective buyers of assets. Have you seen any sort of movements in the secondary market yet for assets?
Svein Moxnes Harfjeld: I think you've seen the biggest sort of move in percentage terms in the older spectrum, right? So you have some owners who wants to get tickets to what's going on, and they're beating up the price for older tonnage. So that's certainly happening. There is also some level of interest on resales. Of course, prompt deliveries, newbuilds, ECO ships with scrubbers. And those are also being bid up. So it's sort of all on the move, if you like. And so far, you haven't seen too much movements on the five-year old and 10-year olds, but there hasn't been many transactions either. So I think if you get sort of a call to ship fiber on coming to market, we would expect it to be a meaningful interest in that.
J. Mintzmyer: Excellent. Yes, it will be interesting to see what transpires. We had that rich, very transaction. It was very interesting. A little bit of a granular question. Looking at some of your time charter ships, I noticed in your initial filings, you had the Europe listed as on time charter, and most recently, now it says it's on spot. Was that just a swap? Secondly, on the Lotus, it was supposed to come off in Q4. Is that still happening? And then finally, you have profit sharing listed on some of those. Is that just a 50/50 split? Or how does that profit sharing work?
Svein Moxnes Harfjeld: So you're right, Europe has been swapped with its customers. So it is being replaced with Sundarbans. We just recently entered into time charter with that customer. These time charters typically have sort of a base rate above our P&L at breakeven level. And they typically have a free zone where 100% goes to the owner up to a certain level. And then there is a 50/50 split at the market levels above that. And these profit sharing structures includes also the benefit of the scrubber economics to us. So we think they're sort of very right in this type of market environment that you haven't sort of given away the entire upside to the counterparty. As for the Lotus, she is coming off this quarter, correct.
J. Mintzmyer: Excellent. So just to clarify, we only have four ships on charter. Then in the most recently announced, it's probably the Taiga. Final question, a little bit granular, looking at the convertible notes due 2021, they're now in the money. Is there any sort of mechanism there to convert some of those and free up your balance sheet capacity a little bit? Or is there some sort of maybe an area to repurchase some of those in a private transaction? Or are those just going to sit on the balance sheet for two more years?
Trygve Munthe: There is a soft call auction in there that if the bond trades – the common stock trades 30% over conversion price for 20 out of 30 days, then we can force a conversion. We aren't there yet. The conversion price is 6.04. So we need the share price to be a little bit higher. And it is something that we contemplate what we're going to do with. But for now, I think we're okay, just preparing to take it out in cash in August 21.
J. Mintzmyer: All right, fantastic. Excellent work this quarter, and we're definitely looking forward to Q4 results.
Svein Moxnes Harfjeld: Thank you.
Trygve Munthe: Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Nick Linnane from Sefton. Please ask your question.
Nicholas Linnane: Thanks for taking my questions. I had two. First one, would you expect the yards to get more efficient and quicker at installing scrubbers over time as they get more experience? Or do you think not, or even the opposite? And then second question, if you can, could you tell us just how many fixtures you have booked during the month of October and what the average rate is on those fixtures?
Svein Moxnes Harfjeld: Your first question, I think this will be very owner and yard specific as to how you have organized your projects. In the case of DHT, we certainly benefit of sort of the education that we get as the projects move along because we pretty much have the same supplier for all the equipment. We are at the same yard for all the retrofits. It's the same team of people and our people on the ground. It's the same people who is on the engineering. We have a lot of sister ships. So we sort of benefit from some efficiency in that regard. But different owners are organized differently. So this could very much vary. And I think we do see other people are spending much longer time at the yards than what we have done. So that's certainly a reflection on maybe not getting any benefits out of it. As to your – the second question, we don't communicate that.
Nicholas Linnane: Okay. Thanks for taking my questions.
Operator: Thank you. You have a follow-up question from the line of Robert Silvera from R.E. Silvera. Please ask your question.
Robert Silvera: Hi. In looking over the numbers – thank you for taking the call again, please. The interest bearing debt as of the end of quarter three, which would be September 30, was $945.9 million. What is it? Can you give us a number of what it is right now here at the end of October? Because you took on other elements of debt and then you reduced elements of debt. So what's the net? Where are we right now, say, to speak at October 24, three weeks later? Can you give us that?
Trygve Munthe: We can only repeat what we said that since the quarter end, we have prepaid $35 million, that in the sort of the money that was drawn in case to convert were to be settled in cash. Other than that, it's just the normal amortization of the...
Robert Silvera: Okay. So roughly then, we're at [910], if you've repaid $35 million?
Trygve Munthe: Yes, it's probably a little bit lower because there have been some...
Robert Silvera: Amortization.
Trygve Munthe: Yes.
Robert Silvera: Okay, good. So we're really back to where we were at the end of quarter two, around 904, 905. Great, okay. That's all I wanted to hear, because it's kind of hard to sift out all the numbers up and down and come up with an accurate number. Thank you very much, guys. You've done a wonderful job.
Svein Moxnes Harfjeld: Thank you.
Operator: There seems to be no further questions. Please continue.
Trygve Munthe: Well, we'd just like to say thanks again for being interested in DHT, and have a great day.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect. Speakers, please standby.